Operator: At this time, I would like to welcome everyone to America First Multifamily Investor LP's, NASDAQ's ticker symbol ATAX Fourth Quarter 2016 Earnings Conference Call. During the presentation all participants will be in a listen-only mode. After the speakers' remarks you will be invited to participate in a question-and-answer session. As a reminder, this conference call is being recorded. At this time, I would like to turn the conference call over to Craig Allen, Chief Financial Officer of the company.
Craig Allen: Thank you. Welcome to the ATAX's fourth quarter 2016 earnings conference call. During the course of this call, comments we make regarding ATAX which are not historical facts are forward-looking statements and are subject to risk and uncertainties that could cause the actual future events or results to differ materially from those statements. Such forward-looking statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. And forward-looking statements can be identified by the use of words like, may, should, expect, plan, intent, focus and other similar terms. You are cautioned that these forward-looking statements speak only as of today's date. Changes in economic, business, competitive, regulatory and other factors could cause our actual results to differ materially from those expressed or implied by the projections or forward-looking statements made today. For more detailed information about these factors and other risks that may impact our business, please review our periodic reports and other documents filed from time-to-time by ATAX with the Securities and Exchange Commission. Our internal projections and beliefs upon which we base our expectations may change, but we will not necessarily inform you if they do. Today's discussion will include non-GAAP measures, and will be explained during the call. We want to make you aware that ATAX is operating under the SEC Regulations FD and we encourage you to take full advantage of the question-and-answer session that will follow our presentation. Thank you for your participation and your interest in ATAX. And I would now like to pass the call over to Chad Daffer, ATAX's Chief Executive Officer.
Chad Daffer: Thank you, Craig. Good afternoon and welcome. Today, I would like to discuss with you the market evens of 2016, achievement of ATAX's 2017 strategic goals, partnership financial results; I will spend a few minutes talking about 2017 at the end and then turn it over for your questions. 2016 presented many interesting events for the market to digest, improving domestic labor markets, moderate expansion of our U.S. economy all leading to rise in the short-term rates for the first time in many, many years, ending with the election of our 45th President. I think volatility will be the consensus for both the debt and equity markets for 2016, the equity market opened the year under pressure from events in China; continued weakness through the uncertainty with Brexit and closing the year end with a very strong fourth quarter due to the presidential election, ending up 13% over year 2015. The debt market saw as much volatility as we have seen for many, many years dating back to 1994. The tenure for example opened the year of 2016 at 2.26%, turning to a pre-election level of 1.4% closing the year at 2.45% due to the events of the election. Given the challenges of 2016, I'm pleased with the achievements of our strategic goals, such as repositioning the portfolio with the sale of our alternative investment bucket. Sale of the mortgage backed securities position in Q1, Pro Nova position in Q2, Arboretum in Q1 and Woodland Park in Q3. All the proceeds from the sale of these positions will be used to reinvest in our core discipline of multifamily housing in the months to come. Our second goal for the year was continue to access capital markets for the execution in low cost capital and positive leverage programs for the bonds that we have in the portfolio. As an example, we closed on $40 million worth of ATAX preferred stock in 2016 leaving the balance of $60 million to be placed in the first quarters of 2017. This is a tremendous opportunity for us to raise low cost non-dilutive, non-voting capital for the reinvestment of the ATAX platform for the benefit of our investors. We also closed a $150 million worth of Term AB Trust financing of bonds in 2015. This is unique financing to the marketplace allowing us to be alternative fixed rate solution to our taxes and bonds securitization on a variable rate mode with Freddie Mac. This provides us with a 10-year fixed rate plan providing excellent leverage returns that were not subject to mark-to-market for the next term. At this time, I would like to turn it back to Craig Allen for his presentation of the 2016 financial results.
Craig Allen: Thank you, Chad. What I would like to do is, is take you through some of the fourth quarter highlights, remind you of some of the highlights for 2016 when taken as a whole. And then, we will talk about some transactions that will enable to execute on in the first quarter of 2017. For the fourth quarter of 2016, we acquired 17 mortgage revenue bonds at a total of $110.3 million most of that activity happened actually in the month of December 2016. We increased the investment of our equity investment in the vantage product by about $5.9 million during Q4 of 2016 and we fully drew on our $40 million of unsecured line of credits with bankers trust, and we also executed on a new $20 million short-term secured line of credit. These lines of credit were used to acquire the mortgage revenue bonds in December of 2016. As Chad mentioned, we are able to transact some Term AB Trust securitizations or some long-term financings; we were able to execute on five Term AB Trusts with a value of about $39 million, but that provides ATAX which is a fixed rate -- fixed term obligation, no mark-to-market, no posting of collateral. So, again, the advantage to ATAX is an insulation against further spread compression during a period of uncertain interest rates. On a year-to-date basis, we acquired 22 mortgage revenue bonds with a value of $130.6 million. We invested approximately $19.5 million on a year-to-date basis on our three vantage investment products. And again, we fully drawn on $60 million worth of our operating lines of credits. We were successful in closing 17 term AB Trusts with a value of about $173.3 million, again at a fixed rate with terms ranging from 2 to 10 years, no mark-to-market and no posting of collateral. And again, this term be trusts and the lines of credit have allowed to increase the value of our core assets that we have acquired mainly the mortgage revenue bonds and vantage assets as well too. At December 31, 2016, we owned approximately $680.2 million of mortgage revenue bonds in 15 states located throughout the country. In addition to that, we own approximately $114 million of MF properties in six states located throughout the country. On a total asset basis to give you an idea of how our assets have grown year-over-year, on December 31 of 2015, our total assets were approximately $868 million and at December 31 of 2016 that had increased about 8.9% to $944 million. Our mortgage revenue bond portfolio had increased from $584 million in 2015 to $680 million in 2016 an increase of almost 17%. Now, looking backwards we talked about our fine tuning of our balance sheet and focusing on our core assets namely the mortgage revenue bonds. If we go back to December 31 of 2012, 35% of our total assets were comprised of mortgage revenue bonds. At December 31, 2016 that 35% has increased to 72% of our total asset base. I would like to spend just a couple of minutes and talk to you a little bit about net book value of the company. So, our net book value is depended on a couple of things, number one, our equity; number two, it is dependent up on the difference -- and equity being the difference between our assets and liabilities, it's depended upon the marks or each quarter and each year end, we mark to firm market value, the assets and our balance sheet. And then, finally is the earnings of the fund itself. As we've talked about on previous calls, our net book value per unit can fluctuate quarter-to-quarter depending upon interest rates and the movements in those interest rates and Chad spoke a little bit about the movements that we've seen in the 10-year treasury just over the last year, so to give you an idea of how our net book value has moved. On December 31, 2015, our net book value is $5.20; on December 31, 2016 our net book value is $4.65. I’ll give you some idea of how that’s moved during the years. We've been as high as $6.52 on June 30, 2016 moving down to $5.88 in September. Now, one thing I'd like to point out though is that our equity is impacted by the marks, not the performance of the underlying assets that make-up those assets. So the mortgage revenue bonds we'll mark each quarter and may cause our equity position to raise or to fall, but it will not again impact the underlying performance of the properties or the cash flows or our ability to generate net income as well too. So the change in the book value can move quarter-to-quarter, but the underlying cash flows remained strong. So we will be sensitive to changing interest rates of what we've done is we've limited the spread compression that can take place in a changing interest rate environment. Our net income basic and diluted per unit was $0.34 in 2016 and $0.34 in 2015. In 2016 versus 2015, our total revenue was relatively flat at about $60 million. Our CAD or cash available per distribution, we talk about this each quarter and we measured that as a means by which to earn our distribution if you will. Our CAD for 2016 was $0.50 versus $0.53 in 2015. The changes in the CAD were due to a couple of things, number one, we reported some contingent interest on the sale of our consolidated VIEs in the fourth quarter of 2015 and that was approximately $4 million and that contingent interest did not repeat itself for the transaction did not repeat itself in 2016. And also we felt some effect from the upward movement on interest rates as well too, although, I'll say during 2016 to our [Term B] [ph] trusts, we've been able to lock-in at a fixed rate that those interest rates going forward and decrease the effect of interest rates spread compression. So the impacts to the CAD that we felt acquisition of mortgage revenue bonds that we've discussed had had a positive impact on our CAD results for this year, our investment in our vantage assets. The more MF property sales and an acquisition that -- we transaction in September of 2016, as Chad mentioned the availability of low cost, non-dilutive financing has been very important for us. Becoming fully leveraged in our balance sheet, the sale of the consolidated VIEs in 2015 while they did not repeat itself in 2016 was still a positive impact where we were able to redeploy and reinvest the proceeds from that sale and than again fixed term financing. At this point, I'd like to turn it over to Chad again for some closing remarks.
Chad Daffer: Thank you, Craig. But I'm pleased about the execution of 2016. And I still feel that we can do better, delivering and earning the $0.50 dividend, while growing assets under management and diversifying the credit portfolio, I'm optimistic about 2017 and the opportunities that it has. We look to follow through with the completion of our deferred stock offering; we look to continue to execute on the Term A/B Trust when available. While navigating the proposed tax that's raising interest rate environment, proposed changes in regulatory environment, we're excited about our opportunities and how they're going to take us through the year of 2017. We will remain discipline in the execution of our strategy for the benefit of your investors. Thank you again for your support of our company. I'll look forward to speaking with you in the months to come and at this time I'd like to take your questions.
Operator: Thank you. [Operator Instructions] And our first question comes from David Walrod from Jones Trading. Your line is now open.
David Walrod: Hi, good afternoon everyone.
Chad Daffer: Good afternoon, David.
David Walrod: I just want to talk about the preferred issuance a little bit, can you I guess you say going to continue -- can give you some idea the pace you expect to get to the 100 million, I guess was a little slower than what you'd previously guided.
Craig Allen: That's exactly correct. I feel that we've had an opportunity through the offering of the $100 million of the preferred stock. In the event that we would have been flexible on our terms or our pricing that we could have placed it two or three times. We stayed very disciplined and that we would not provide any institutional investor with the side letter, even with the volatility in the market, we stayed very firm on our pricing and for that reason it's taken longer than what we anticipated. I think you saw the press release this morning, David that we've added to a second position for PNC Bank. We currently have about $50 million plus or minus less that needs to be placed. We have a handful of banks that are currently in some form of underwriting, due diligence, credit approval. I'm pretty confident that we'll have a balance placed between now and the end of the second quarter, but it's taken longer than we'd liked because of our disciplined approach for deployment.
David Walrod: Okay, great. Can you talk a little bit about the pipeline of MF property sales?
Craig Allen: I can. The pipeline remains strong. We continue to have some growth of the relationships with some of the upper tier developers. Right now, I think we're looking to do another couple of hundred million in originations. I think in the past we probably could have done more and had a much higher velocity of growth if we'd have been a little bit more relaxed on our credit underwriting and our selection of our development partners, but right now, the opportunities on is probably is the bigger question in my mind is changes in the yield curve and how that affects the ability for multifamily housing development to be done through the balance of the year. Our program and our people have been very well received in the marketplace from the developed borrowers. If the yield curve cooperates and we can deliver the cost of borrowing that is acceptable to them, I think our people and our process and our product will be well received as it has in the past, it’s just at the end of the day for the larger projects it comes down to cost of borrowing.
David Walrod: Okay. Thank you very much.
Craig Allen: Thank you.
Operator: Thank you. And our next question comes from [John Pong] [ph] a Private Investor. Your line is now open.
Unidentified Analyst: Good afternoon, gentlemen. First a comment and then a couple of questions here as a long-term unitholder since 2010 personally got over 200,000 units, I want to complement management on the high tax per yield and the low interest rate environment. I know you guys tried pretty hard to maintain that distribution which is pretty much appreciated. Also I liked the presentation of Chad computation right upfront in the press release. On to the first question, not against ATAX in the raising interest rate environment, your long-term bond investments will depreciate fast you can replace them with current yielding bond, but you're effectively a bank with a borrower short in the [land long] [ph] business model and banks have been appreciated and evaluate the anticipation of a raising interest rate background. So what it is, how will is the Feds forecasted three discount rate increases in 2017 impact ATAX especially EPU and CAD, I know you supplied charts in the 10-K, but aren't a little bit hedged right there, so as you look forward in 2017 with raising interest rate environment, what's some of the comments regarding the impact to EPU and CAD? Thank you.
Chad Daffer: Thank you for the question. I think it's a two part question. Globally, I think we shared with the investors in the past, but in the event that interest rates go to a level where we can no longer add to the portfolio through the acquisition of multifamily housing bonds then we would go to the sideline and clip coupons. The difference between us and the bank you're exactly right and that we'll borrow short and long. The difference is we don't have to do deals in the event that the deals no longer accretive to the current distribution. So that's the global message I think we've always shared in the strategy that we played and execute for the investors in the past. As far as the cash flow level, your question is what will happen in the change of an interest rate environment or change in the yield curve. That's a two part question as well. One, how does that affect the cash flow and evaluation of the bonds that are currently in the portfolio, what happens to our ability to not manage spread compression from the time we originate the bond so they go into the securitization program and locked the spread between the leverage and the coupon. The first question is, as I understand it says, the bonds what we have in the tax exempt bond securitization M24, M31, M33 as a requirement of Freddie Mac, all have interest rate caps placed on them to manage in the event that we have a rise in the short-term rates on our variable rate mode financing that we will have interest rate caps kick in and fund the delta between the loss of income from the higher interest rates on the short end of the curve and the cost of our leverage. So hopefully we'll try to mitigate that scenario as well as we can through the use of interest rate caps. The other part of that same question as I understand is, correct me if I'm wrong, is one of the many risks that we look to try and mitigate is the time from we raised the equity either preferred or common, we buy bonds and leverage them into a fixed rate or variable rate securitization program locking the spread between the cost of the debt in the coupon for the benefit of our investors is one of the biggest risks that we have. In order to mitigate that in 10 years ago to pick a date I'm just using that as a date, it could have been as long as two years from the time that we raised common equity, lot of bond, warehouse the bond, completed stabilization or construction and then put it into a securitization program. With the Term A/B Trust, we shortened that to what we bought bonds on Wednesday and then put the bonds into a Term A/B Trust on Thursday, mitigating construction and stabilization risk for the leverage program through a guarantee from ATAX. And I think that speaks well of our credit history and our ability to source deals, select the right properties, underwrite the credit and deal with the right partners and that we've evolved the platform toward we can take two years of risk of spread compression, out of the equation and deliver to the investors. So those are two great question, let's what we try to manage everyday here in the office, but it's changed a lot for the benefit of you folks over the last five, six years. Did I answer all your question and I want to make sure I did a good job?
Unidentified Analyst: Yes. It was very thorough. Thank you. Second, ATAX is fairly levered right now i.e., at 65% going to 70%, I mean obviously you're lending on real-estate that itself has fairly encumbered with the data. So there lies the risk with ATAX as I see it with the additional units or the preferred units albeit at a low fixed dividend that may slightly subordinate the common unit. How does management view the ideal leverage percentage and why you're going to 70% from 65%?
Chad Daffer: Yes. The short answer is, we look to identify an aggregate risk target for leverage. It has to do with the underlying bonds where they're at in the evolution of the underlying projects and what's the current risk profile and how are they performing. We have some properties that are going through restructuring just now many things on this, but the sale is no leverage on it. We're going through a restructuring there for a number of reasons we can talk about later. We have no leverage. The reason is the risk profile on that underlying asset is not such that we feel is comfortable with leverage. Now the projects that have been stabilized, rehab or constructed stabilized and seasoned the financials where we have high confidence of their performance going forward. We feel like we can increase the leverage to maybe 90% on those. But new Term A/B Trust where you have no subject -- you're not subject to a fractured variable rate market and/or subject to interest rate increases. With the fixed rate term, we feel comfortable taken that leverage from 70% to 85%, that includes we have no mark-to-market on these assets. So we're in a fixed rate solution for 10 years with no mark-to-market, the inherent risk with that bond financing program is much less for those reasons, that's the reason why we approach the Board that on certain assets we're willing to raise the leverage on those season, fully constructed, fully stayed assets to 85% or 90% and bringing the aggregate up from 65% to 70%. It's all a function of the underlying credit worthiness of the project, it's inherent in the bonds, it's inherent to the leverage program and so they're all interrelated based on the credit profile of the underlying credit improvements.
Craig Allen: John, this is Craig. I think one of the things I can add to what Chad had said too and maybe to expand upon your question a little bit. We had about $60 million of line of credit that variable rate product at the end of the year that was outstanding. What we've done in the first quarter of 2017 is paid the $60 million line of credit in full with the proceeds from the 19 term A/B Trusts so we locked in almost $170 million of fixed rate financing and it eliminated variable rate debt in doing so. In addition, we spent about $60 million to acquire six additional mortgage revenue bonds as well too, so again that those are things that we've done over the last two months of 2017 to try to mitigate some of that spread compression as well.
Unidentified Analyst: Very good. And if I could finish with, I know you just touched on, regarding book value, which seems to be a little bit elastic when you have those mark-to-market and so when you look at the kind of place and the fair value or the BUCs with raising interest rates that does tend to slam, it does tend to slam in the upward value, but it really doesn't have that much impact on necessarily the EPU or CAD, so how does management view fair value I guess for the valuation of the units and another like coder right there would be, will the sale of the Northern View multifamily property be accretive to CAD this year? And that's it from me. Thank you.
Chad Daffer: Couple of questions there I think, one has to do is how does management look at fair value and how does the sale of the Northern View asset be accretive to CAD for 2017?
Unidentified Analyst: Yes.
Chad Daffer: The value discussion is usually two part; one is how does Craig satisfies fair disclosure on a conservative basis with our Qs and our Ks to investors like yourself. And I want to speak to you Craig, it's a combination of market indications, discounted cash flows, present value models, models from our third-party auditor, models from pricing from gentleman that helps us with our risk management and hedging. And so it's a combination of a number of inputs that allow us to disclose what we feel is a conservative number. I'm always on the market side wanting to know where is the market in relationship to the asset, where is the market going in relationship to an interest rate call and so I'm more on the market side, hopefully I have a decent, hopefully history will tell us that we've rode the cycles for a positive exit of certain positions and I think our history will show that. Thank goodness I have had time on my side that we could do that but I'm going to be the one that's going to be managing the trading of the assets in the portfolio based on market evaluation as I see in the market based on hard comps in the marketplace. Craig will approach it from a fairness of disclosure and a conservative pricing model and that's how we get to each one of the assets. It's probably -- I wish it was more complicated than that, I had a bigger sophisticated answer for you, but it really is that simple. Craig?
Craig Allen: Yes. I know that is correct. I mean, we required as you know to require from -- hard to disclose for market value based upon generally accepted accounting principles. And again, it approximates a fair market value, but may not necessarily reflect what a willing buyer and a willing seller are willing to transact at. And that's where understanding the market, the market comps that's where I think we have an advantage because we have a full real estate platform that's vertically integrated all the way from design to construction monitoring, to property management, I mean we walk every piece of property before we buy it. And a gap model doesn't reflect that. It doesn't reflect that full service vertically integrated platform. So, we look at this very holistically in the Ks and the Qs, obviously, we disclosed based upon what general accepted accounting principles indicate that we -- that we need to report. And the second part of your question on -- was -- will the sale of Northern View will be accretive, we anticipate closing Northern View in Q1. And the short answer to the question was, we believe that the transaction will be accretive upon closing.
Chad Daffer: Just a quick data point on the evolution of our Northern View position. This was an asset that we acquired LP, GP interest many years ago, when we couldn't buy anything else because of valuations we thought we were on way too high. We understood that GP/LP transaction unlike a lot of folks, I acquired the asset knowing that at some point in time through year 2015 that we would have a land and improvement across the street from the university. I felt the university was under served with their on campus student housing. We took tax exempt bonds back to the issuer, collapsed the bonds really qualified contract with the state agency and then convert it from a buy unit portable housing property to buy the best student housing property. Seasoned financials under the new execution of the asset and took it to market for a public sale that we hope will close here in the next weeks to come in the first quarter. If things close on what we believe to be advertised to us, it will be a positive event for CAD and hopefully here in the next week or so, we will be able to share a press release with the investment group here to get to evaluate how we did.
Unidentified Analyst: Very good. Thank you, gentlemen. Looking forward to a good 2017.
Chad Daffer: Thank you.
Operator: Thank you. And our next question comes from Ben Chittenden of Oppenheimer. Your line is now open.
Ben Chittenden: Hey, good afternoon guys. Thanks for taking my questions.
Chad Daffer: Good afternoon.
Ben Chittenden: Good afternoon. So can I start with just a property revenue line. I mean I know that strategy has shifted a little bit over time until the managed units grew pretty substantially from what's called 2010 through 2015 kind of peaked out, came down a little bit in the second and third quarter. But, now we have seen the fourth quarter tick back up, is that back in growth mode. I mean I guess what is the strategy for the managed units going forward?
Chad Daffer: It's the opportunities that we see and how we can grow the assets under management on an accretive basis Ben. It's that simple. Right now. We are in a growth mode under that asset class for the opportunities that have been presented to us. That's our core discipline. We would like to create a profile. As you know, when the LPA provides us with a 75% first mortgage bucket and 25% of assets under an alternative asset bucket. While we think we understand the credits, the inherent, the alternative positions. Multifamily is the core discipline that we have done here for 30 years all over the country, we have got asset management, property management, development, financial structuring. And so we can leverage the history and the asset of the firm to execute our core discipline in multifamily. And when the opportunities are there that's always going to be our -- that's always going to be our first choice.
Ben Chittenden: Okay. That's helpful. And then just in terms, and I think Craig actually answered to this in one of the prior questions. But, this strategy around the line of credit is basically just so you can quickly close things and then turn them into sort of longer term financed assets or?
Craig Allen: That's correct, Ben. We utilized the $40 million unsecured line for just that a short-term means by which to invest until we are able to lock that into a longer term funding source.
Chad Daffer: As you know Ben sometimes time is a function of price and if we can move quickly we can negotiate a better price and terms. And so, we always like to have some dry powder in order to pursue an opportunity on a very short time line.
Ben Chittenden: That makes a lot of sense. And then, I guess my final one is just leverage from G&A. I mean that's grown pretty rapidly over the past two years, there is always some growth just given the asset size. But, is there any room for additional leverage to kind of tear down the growth there or is there something inherent in the line item that is just going to continue to grow the way it's been growing.
Chad Daffer: I think that growth is -- it's something that we always take a look at. I think you will see that grow gradually with the volume, either the volume of investment activity or the volume of sale activity, something we watch fairly closely. But, that will move with the activity throughout each quarter and the year though.
Ben Chittenden: Is there sort of a core underlying amount that we can think about from like a modeling perspective going forward or it's hard to kind of get guidance around that?
Craig Allen: I think that's a little bit of hard right now to give guidance on that, it's not something we really do. I think if you take a look at Q4. Q4 the activity that took place in Q4 were really core asset type transactions on the investment side, the mortgage revenue bond side, on the funding side as well too. I think if you extrapolate that out going forward, and assuming normal activity takes place within a narrow band we are probably pretty close.
Ben Chittenden: Okay. Thank you.
Chad Daffer: It's fine line Ben as you know between giving guidance, sharing non-public information, if you have assumptions you have made in your model, we will be happy to review them and provide you some feedback, if you would like.
Ben Chittenden: Okay. Thanks.
Operator: Thank you. [Operator Instructions] And we have a question from Michael Peter from Peterson Wealth Management. Your line is now open.
Michael Peter: Good work gentlemen. I just had a -- you covered it fairly well here. But, can you give a little more color to the term AB bond financing that you did last year. I mean, are those $10 million, I mean 17 have amounted to $173 million, how quickly you can put those together and who is on the other side of that transaction?
Chad Daffer: Yes, Mike. Good question. This has to do with our ability to provide the platform to an alternative fixed rate solution to our tabs. I think this is an effort that was undertaken a couple of years ago and we all know there was a greater threat of rising interest rates at that time. I think from where we put the trade on back in September 2016 to now it's already bringing positive returns for us. This is much like any other trust transaction. We put bonds into trust. We bifurcate the cash flows. Deutsche Bank buys the A bonds for their investment on their portfolio. We take back the residual receipts and all excess cash flow flows to the residual receipt B bondholder for ATAX. It's fixed rate, 10 years, we have leverage returns north of 18% and it's not subject to mark-to-market. So, it's a excellent transaction for investors. We are fortunate to have our partners in Deutsche Bank work with us and executing this trade. The adequate size is available for us to do additional financing under this structure. And we still think that the fixed rate solution is the optimal approach given on our beliefs on interest rates that's the direction we will go.
Michael Peter: I mean, are those new TO over the last couple of years or [indiscernible]?
Chad Daffer: It was new to us back in September of 2016 when we executed the first one. I'm not familiar with how new it was to the marketplace, but I think it was somewhat creative and they have been providing us with the low cost solution for variable rate mode that we would achieve through Freddie Mac.
Michael Peter: Okay. And the final question, I mean I don't have the share count right in front of me, but I assume that you are done with the share repurchase program, I think it was 272,000 shares in change. And then, when you combine that with RUAs, how the RUAs, I mean those are vested three months to three years. Is the -- 238,000 block of those, I mean it shows the share count fairly similar to what it was a year ago or last August?
Craig Allen: Sure. So the first part of your question is, yes. The RUA program that we commenced last year is finished that's been fully -- it's been fully repurchased. Back in September of 2015, the unitholders approved a consent solicitation statement that in essence said, we have the ability to either issue new or repurchase up to three million units over time. We have elected at least last year in 2016 to repurchase units in the open market for the equity incentive plan. Those units were awarded anywhere from three months to three years. They are time based. Those were awarded in 2015. There were a portion that did vest at the end of 2016. And that's why you will see the difference between our 60,252,000 units in -- at the end of 2015 and the 60,182,000 at the end of 2016. So the remainder will vest over the next two years December 31 of 2017 and 2018. But, yes, we are fully done and closed on that.
Michael Peter: Okay. Appreciate the good work.
Craig Allen: Thank you.
Chad Daffer: Thank you.
Operator: Thank you. With no further questions, I would like to say ladies and gentlemen, thank you for participating in today's conference. This concludes today's program. You may all disconnect. Everyone have a great day.